Operator: Greetings, and welcome to the Euronet Worldwide First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a remainder, this conference may be recorded. It is now my pleasure to introduce your host, Mr. Jeff Newman, Executive Vice President and General Counsel for Euronet Worldwide. Thank you. Mr. Newman, you may begin.
Jeff Newman: Thank you, Kath. Good morning and welcome, everyone, to Euronet's quarterly results conference call. We will present our results for the first quarter 2016 on this call. We have Mike Brown, our Chief Executive Officer; Rick Weller, our Chief Financial Officer; and Kevin Caponecchi, the CEO of the epay division on the call. Before we begin, I need to make our forward-looking statements disclaimer. Statements made on this call that concern Euronet's or its management's intentions, expectations or predictions of future performance are forward-looking statements. Euronet's actual results may vary materially from those anticipated in such forward-looking statements as a result of a number of factors, including economic conditions in specific countries or regions, technological developments affecting the market for the company's products and services; foreign currency exchange rate fluctuations; the effects of any breaches in the security of our computer systems, the ability to renew existing contracts at profitable rates; changes in fees payable for transactions performed over our networks, and changes in laws and regulations affecting the company's business, including immigration laws and anti-money laundering regulations. These risks and other risks are described in the company's filings with the Securities and Exchange Commission, including our Annual Report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Copies of these filings may be obtained via the SEC's EDGAR website or by contacting the company or the SEC. Euronet does not intend to update these forward-looking statements and undertakes no duty to any person to provide any such update under any circumstances. The company regularly posts important information to the Investor Relations section of its website. Now, I'll turn the call over to our CFO, Rick Weller.
Rick Weller: Thanks, Jeff. Good morning and thank you to everyone for joining us today. I will begin my comments on Slide 5. We delivered another quarter of double-digit growth with revenue of $437.9 million, operating income of $41.9 million, and adjusted EBITDA of $64.9 million. Our adjusted cash EPS was $0.69, a 23% year-over-year increase, and $0.01 ahead of our guidance. This result includes a small benefit from share repurchases which was essentially offset by headwind from foreign currency exchange rates since we gave guidance in February. On a year-over-year basis FX headwinds impacted cash EPS by approximately $0.025 per share. As we said in our press release, this was the 13th consecutive quarter of double-digit cash EPS growth. This was another very strong quarter for Euronet in which all three segments contributed to the double-digit growth. Next slide, please. On Slide 6, we show our three-year transaction trend by segment. EFT transactions grew 23% with increases across Europe and India. As has been the case for the last several quarters, this 23% growth reflects a substantial loss of a number of transactions from the terminations of an unprofitable contract in China. If not for this terminations, transactions would have grown 32%. I would point out however that 13 or about one-third of this 32% percent pro-forma growth was from the 2,600 low margin ATMs we onboarded in India. Epay transactions grew 1% with increases in Germany, India, Turkey, Australia, Poland and the Middle East, partially offset by mobile decline in Brazil, North America, and the UK. We'll have to work hard to replace the loss of volume, mobile volume, and until then we would expect some softness in the epay segment revenues. However, operating income should remain consistent year-over-year due to the continued growth in non-mobile offsetting declines in mobile. Fortunately, while we recover this volume we continue to have good success in non-mobile sales and we are seeing exceptional result from our EFT and money transfer segments which give us the ability and confidence to produce the cash EPS guidance we set out in the press release. Total money transfers grew 35%; this growth was the result of a 39% increase in money transfers and a 5% increase in non-money transfer transactions such as check cashing, international mobile recharge, and bill payment. Money transfer growth was driven by an increase in Ria's organic business including double-digit growth in Europe, Asia Pacific, the U.S. Walmart, and the added benefit of the June 2015 acquisition of IME. Let's go to Slide 7, please. Slide 7 presents our results on an as reported basis. Since we gave guidance in February, we have seen improvement in some currencies including the Euro. However, other currencies have been unfavorable including the British pound where uncertainty around the British exit from the EU has weighed on the currency. The net result of currency changes created a slight headwind to our result since we provided our first quarter guidance in February. On a year-over-year basis, we continue to see currency impacts impact our results with decline in the Euro, the Hungarian forint, and the British pound ranging from 2% to 5%. We also saw upper single-digit decline from the Indian rupee, the Australian dollar, and the Polish Zloty while the British Reale, the Canadian dollar, and the New Zealand dollar declined at double digit rates. To normalize the impact of these foreign currency fluctuations, we have presented our result adjusted for currency on the next slide. Let's go to Slide 8, please. Again, these result have all been adjusted to equalize currency impact. The f.t. delivered. Another strong quarter. Constant currency revenue grew twenty one percent. EFT delivered another strong quarter. Constant currency grew 21%, operating income grew 18% and adjusted EBITDA grew 22%. These nice growth rates are the result of a 26% increase in ATM and a 32% in transactions, adjusted again for the loss of the contract in China. Operating income and adjusted EBITDA margins remained relatively consistent on a year-over-year basis, simply another great quarter for EFT. The epay segment delivered constant currency revenue growth of 1%, operating income growth of 6% and adjusted EBITDA growth of 5%. Growth was driven by increased sales of non-mobile products, partially offset by certain mobile transaction decline. Operating income and EBITDA margin expanded slightly as a result of the shift towards higher margin non-mobile products and effective expense management. Money transfer had another great quarter with revenue, operating income and adjusted EBITDA growth of 27%, 59% and 44% respectively. This growth was driven by the transaction growth across most all parts of the business I previously mentioned on the transaction growth slide. Aside from mix, revenue and growth profit per transaction remained relatively consistent year-over-year across all segments. We are pleased with these first quarter results. Next slide, please. Slide 14 presents highlights from our first quarter balance sheet. Cash increased to $548.5 million as a result of cash generated from operations, cash borrowed to fill ATM in anticipation of seasonally higher cash withdrawal in the second and third quarter. And the timing of settlement in the epay and money transfer segments, partially offset by cash paid for share repurchases and capital expenditures. The increase in debt was from borrowings to fill -- borrowings on our revolver to fill the ATMs so fund share -- fill the ATM and the fund share repurchases. In the first quarter we repurchased approximately 1.1 million shares for a total purchase price of approximately $75.6 million. We purchased about two-thirds of the shares with cash and one-third of the shares with funds from our revolver, and we have about one quarter remaining of $100 million share repurchase authorization. We continue to operate with relatively low levels of debt with a generally conservative view towards managing our balance sheet. Overall, we feel this was a great start to the year and we were very pleased with the contributions from all three segments. With that, I'll turn it over to Mike.
Mike Brown: Thank you, Rick. And thank you to everybody who is joining today. First, I'll start on a lighter note, and that is the reflection of our 2015 Annual Report. As you can see the graphics of our PowerPoint template draw from the illustrations in our 2015 Annual Report, the cover slide features a world map on top of a euro and Indian rupee note, as well as Malaysian ringgit coin representing our global presence, our geographical expansion, and our foreign currency exchange rate expertise. A 28% reported and 50% constant currency EPS growth in 2015 was another crushing year for us. So starting off strong in Q1 is certainly encouraging. Now on to the significance of the first quarter; delivering this 23% cash EPS growth to start the year is simply outstanding, especially given the seasonally pronounced impact of the first quarter. As many of you know, in the first quarter customers make fewer cash withdrawals and buy less content after the holiday season, and money transfer customers make fewer transfers during the winter months. So to deliver a 23% growth is a true testament to the focus and the dedication of our team to deliver more products and services across our market. These strong first quarter results are great start to the year in which we will continue to execute on our strategy to add more content, more devices, and more channels in more markets around the world. Now let's move on to Slide number 12 and we'll talk a little bit about EFT. Slide 12, as we've told you in the past, the first quarter is always a weaker quarter for the EFT segment and this year was not any different. However, compared with the first quarters of previous years this was a strong start for our EFT business. We have seen very strong full year results from EFT in previous years and the strong result to start the year underpin our optimism that EFT will continue to be a good performer throughout this year. Let's move on to Slide 13 and we'll discuss some specific. As you can see, there are lot of highlights on this Page 13 so I'll just cover a few. In the quarter we launched a new independent ATM network in Ireland representing the 19th country where we have deployed Euronet branded ATM. In partnership with Wizz Air, a leading discount airline in Europe, we launched a WIZZ Travel Card product. This multi-currency prepaid travel master card is issued and billed using Euronet's European eMoney license and the Wizz Air branding to deliver a new value proposition to our partners most loyal customers. This is the first agreement in which we have been able to showcase our ability to provide a full ecosystem of multi-currency card issuing by combining our licenses; our foreign exchange expertise, processing and loading capabilities, as well as our expansive ATM network to provide our commercial partners with a new value proposition for their most valuable customers. The initial rollout of this product was in Poland but will be expanded to nine additional countries in the coming quarter. We also launched an agreement with interchange effect to deploy Euronet branded ATMs at high traffic locations across several European countries. And in Poland we signed a cash recycler, an outsourcing, and network participation agreement with Deutsche Bank. These machines allow for cash deposits and withdrawals, and provide cost savings from fewer cash bills. Next slide, please. Slide 14 highlights some of our value-added services agreements. We expanded our POSCCC merchant acquiring to customers in Austria. After a successful pilot in the UK, we expanded our European gift card program to Poland launching a Euronet open loop visa prepaid gift card. This product highlights the synergies of our business as the card is issued and managed by our EFT segment and distributed through epay POS location. We expanded our partnership with China Union Pay in Spain enabling cash withdrawals on an independently deployed ATM. And in Greece we launched 15,000 new POS terminals or Prius [ph] bank merchants. In the first quarter we added 3,401 ATMs to our totally ATM count. As you saw in our press release, approximately 2,600 of these ATMs were from one driving agreement in India contributing minimal margin per ATM and per transaction, even compared with our lower margin Indian ATM. Understanding the unique set of circumstances, evolving in India will help provide additional clarity on why we would sign a driving agreement with minimal gross profit impact. While Indian Central Bank has been a bit irregular in some of its direction, one area of consistent emphasis has been their desire for banking inclusion, particularly as it relates to the ATM and card services in the country. Euronet replaced the Base 24 which is an EFT switch from ACI at Oriental Bank of Commerce, OBC, in an auction process. These ATMs will generate minimal revenue and operating profit to the company, however, this deal now qualifies Euronet to participate in a new market segment in India; i.e.; the governmental banks, which constitute 82% of overall debit card base in the country and 77% of the overall ATM base of 194,000 ATMs in India. The banks in this segment are increasingly looking at outsourcing their operations to payment processors like Euronet. Additionally, the company anticipates a future beneficial relationship with this bank by selling more value-added services and payment solutions. These ATMs are accretive to our earnings and this deal will give us entry for us to provide our suite of services to India's public sector bank. Unlike China, these ATMs will provide some positive contributions to op-income and our business in India is now profitable and has been profitable and fast growing for several years. It's not like China at all. Net of this increase redeployed -- we redeployed 263 seasonal ATMs and added 531 new ATMs in the first quarter keeping us on pace to deploy about 2,000+ ATMs for the year. As you can see from these highlights, our EFT team continues to deliver more new products across our market. Overall, another strong quarter for our EFT team. Now let's move on to Slide Number 17, and we will talk about epay. During the quarter, our epay team remained focused on managing content within a retail outlet. This content management approach resulted in a nice growth in our software and gaming category. In the first quarter, we continued to expand our distribution of these products, including the addition of Sony, Xbox and Nintendo into more than 500 Vitrix locations, an electronics retailer in Germany, and Microsoft Office into a leading electronics retailer, Media Market, in Spain. As subscription-based streaming services has grown in popularity around the world, we are working with numerous leading brands to expand their content distribution into cash-based market. By converting the subscription service to a physical gift card sold at the point of sale, customers can gain access to content previously only available to credit card holders. For example; as a reminder, of credit card usage in Europe is significantly lower than the U.S., I've said this to a lot of you before. For example; in Germany, Continental Europe's largest economy, card-based usage only accounts for about one-fifth, 20% of all e-commerce transactions compared with the U.S. where approximately 80% of e-commerce transactions are made with a card. And credit cards only account for about 5% of the purchases that are made within Germany. During the quarter we also added Netflix to a large supermarket chain in Italy, and streamed gaming to 140 new retail locations in Portugal. We have also focused on increasing our sales of digital content through digital channel; specifically we've doubled our sales through channels like online banking portals and platforms like PayPal on a year-over-year basis. This quarter we signed another distribution agreement, this time with CashStar, an online digital gifting site in the U.S. We also continue to expand our existing content to new growing markets. We launched iTunes receded 2,500 Solution Gulf locations in the UAE, and 4,000 EuroSat locations in Russia. The continued focus on expanding our non-mobile product distribution resulted in a solid first quarter for our epay team. Now we'll move onto Slide Number 19 and we'll talk about money transfer. As covered by Rick earlier, our money transfer team is hitting on all cylinders and delivering an outstanding first quarter so we'll move on to Slide Number 20 and talk about some of the specifics and what's behind the outstanding growth. Our network has now eclipsed the 3,000 location mark, now reaches 310,000 locations across 150 countries, a 26% year-over-year increase. When we purchased Ria in 2007, the network had 42,000 locations. In the money transfer space, ubiquity of payout is key; you can't service immigrant consumers if you're not able to payout a transaction where their family is located. In the past nine years we have grown our money transfer network more than seven-fold making our secure affordable service more convenient to more consumers around the world. This is a significant milestone and a great accomplishment for our money transfer team. This is just nothing but hard work and they've done a great job. During the quarter we launched eleven new correspondents in eight countries; in Russia, we launched to receive service at more than 22,000 golden crown locations. This is a large number of locations that will greatly improve our network in Russia, the 16th largest events receiving country which received an estimated 8 billion in 2015. We also launched services with two local post offices in West Africa, post offices are important. Network locations in the developing countries as they account for a significant amount of the bill payment activity that goes on in a country allowing customers to collect the money sent by their family where they make their bill payment. In addition to the launches, we signed 25 new correspondent agreement spanning 17 countries. We signed an agreement with Trust Bank of Bangladesh to offer receive service to Trust Banks customers. Bangladesh is a Top Ten receive country, receiving an estimated $16 billion in 2015. We signed another local post office agreement, this one with the post office in the Ivory Coast. We continue to be motivated to provide superior customer service to all of our customers including Walmart. We continue to work hard with Walmart to try to find ways to expand our product offering and by combining our assets for the betterment of our mutual customers. As a part of these efforts, during the quarter, we launched a money transfer pilot in select Walmart, Chile location. We remain excited about the potential of these initiatives together with the opportunity to work with Walmart on additional projects. Finally, we launched an agreement with Earth Core for payout to their global payments network. This agreement complements Ria's existing bank deposit services expanding its catalog, allowing even more customers to experience Ria's reliable, secure and affordable services. Before I close on the money transfer segment, I thought I would give you a brief update on our acquisitions over the last couple of years. The IME Asia Pac acquisition has continued to meet and exceed our expectations with handsome double-digit growth. As you may recall, this acquisition gives us front door access to very two very large transfer corridors with tremendous potential. We are very pleased with the momentum of this deal. As for High FX, you may recall that we launched High FX in the U.S., we're seeing transactions ramp nicely and believe this success will continue. And with respect to our latest deal XE.com, XE, our teams there have been busy with the integration of XE in preparing for the conversion of their incumbent white-labelled payment processor to our high FX platform which should happen in the fourth quarter. Coincident with this, we will launch another market, Canada, in the very near future. Needless to say, we can't wait to directly serve XE's 200+ million unique visitors a year. So all-in-all, we are very pleased with the results of these important and growth driving money transfer acquisitions, and look forward to their continued success. Now then to close on money transfer, this was a great start to the year for our money transfer segment as they continue to deliver strong double-digit growth. Let's move on to Slide 21 and we'll close up for the day. We finished the quarter with an adjusted cash EPS of $0.69, a 23% year-over-year increase and $0.01 ahead of our guidance. EFT delivered double-digit operating income growth as a result of continued ATM and POS network expansion. Epay benefited from continued sales of non-mobile content, our money transfer network reached more than 300,000 locations and delivered double-digit growth across most all of the segments of our business. Our balance sheet remained strong as usual with good cash flow generation. And finally, we expect to achieve second quarter adjusted cash EPS of $0.90 assuming foreign exchange rates remain constant. With that, we will be happy to answer questions. Operator, will you please listen.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mike Grondahl with Northland Securities. Your line is open, please go ahead.
Mike Grondahl: Thanks guys, and congrats on a typical seasonal challenged quarter, you guys outperformed nicely. Mike, where did that outperformance come kind of based on your expectations going into the quarter?
Mike Brown: Well, actually pretty much hit every everywhere where we thought it was, I mean we headed out pro forma bid in the EFT and money transfer, and epay was about where we expected it. So I'm just happy to see guys hitting and exceeding their numbers.
Mike Grondahl: Sure, great. In India, it seems like the 2,600 ATMs you're picking up, are giving you entry into the public market where like 77% of the ATMs exist. Are you currently in any discussions for any of those public sector banks ATMs?
Mike Brown: I'll let -- I know part of the answer but I'll let Kevin answer.
Kevin Caponecchi: Mike, this is Kevin. Yes, we're discussion as Mike suggested these public sector banks are using technology that's quite dated and they're looking through either replace the switch with a new solution or they're evaluating outsourcing those ATMs. And we're in discussions with other public sector banks.
Mike Brown: Yes, I understand. Like I said, I can't emphasize, over three quarters of all the ATMs of the market are public sector banks and those guys have been basically just closed down. And somebody had to kind of get ourselves, get our feet where we wanted these. They always start low margin to begin with and then you try to wrap around other services to make more money.
Mike Grondahl: Got you. Do you have a goal this year, how many ATMs…
Mike Brown: No, not really a goal but you know the nice thing is, we will not sign one of these deals unless we're making money. And so -- or at least that's the general rule. So this one is making money for us, next one's we expect would do the same thing. So they're all incremental, we've been in India now for 10 years so we've got lots of infrastructure, our guy running it there in India, Himanshu, is a very bright guy and he's got a really strong team behind him. So I really think that market hasn't fully taken advantage of all that we have to offer.
Mike Grondahl: Okay. And then on money transfer, the Walmart, Chile pilot, that seems to be your first piece of business with Walmart outside of the U.S., is that correct?
Mike Brown: That is correct.
Mike Grondahl: Can you talk about the filing?
Mike Brown: Well, it's the fillers, I mean they have almost 400 stores down in Chile. We're piloting handful of stores right now. If all goes well for both parties, we could expand that to more stores. So it's the second deal that we've signed with Walmart and I think it's just -- I mean, with Walmart, these guys are big, very professional retailers. And our focus is, keep our nose down, work really hard and just keep them happy. And that's what we do and then overtime perhaps other deal will come our way.
Mike Grondahl: Got it. And lastly, Mike, your money transfer volume continues to be very strong. Is – obviously, you're taking share but you could you talk about where you're taking share globally? Is the pie still growing? I mean how is the output justified…
Mike Brown: Here is just two things and then I've got to cut you off as I've got to let other people talk but these are good questions. So with respect to money transfer, when it comes to our baseline they call it the non-Walmart business. We're taking it from everybody, obviously we're growing hell lot faster than the world market is for domestic remittance. So obviously, I don't know exactly who but we're taking it from the market. With respect to the Walmart to Walmart deal, we firmly believe that as we have put in really what Walmart could be proud of, which is an everyday low price to their customers, we've dropped the pricing so significantly in this particular U.S.-U.S. corridor that I think the pie is growing. And so here more people can now afford to make domestic remittance when here therefore they didn't want to spend $50 or $60 or $70, they spend $600 or $700.
Mike Grondahl: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Shutler with William Blair. Your line is open. Please go ahead.
Chris Shutler: Hey guys, good morning.
Mike Brown: Good morning, Chris.
Chris Shutler: So I just wanted to follow-up on the public sector banks in India, it's pretty interesting. Mike, what is the -- what does or will the competition look like there for those types of outsourcing deals and what would you expect the unit economics to look like relative to other Indian machines or Central and Eastern Europe?
Mike Brown: Yes, so…
Chris Shutler: I know it's early.
Mike Brown: To funniest part about -- the interesting part about India is, everybody and their brother claims they can do ATM outsourcing or something for banks. There is a lot of low competitors. Because we've been there for 10 years, we're already driving and doing full outsourcing to a number of the private sector banks right now. We've got a great reputation. And so I imagine it's going to be competitive but we're happy to just compete. And by the way, these don't get our -- we do a driving contract in Europe, there is a lot to it. So there is a lot of pieces, so we might be managing the security and maintenance under the cash forecasting and organizing the cash builds and all this stuff. Well, this is just driving and switching. So this is really just computer work.
Chris Shutler: Okay. And then on epay, maybe you could just dive into that segment a little bit more. I know you did some in the prepared remarks but given the sense of how much the mobile versus the non-mobile gross profit is growing today. Just what the outlook is, sounds like, you're expecting relative stability in the near-term but -- what would you -- how would you characterize the opportunity to reaccelerate epay into the upper single double-digit EBITDA growth in the medium term?
Mike Brown: Chris, we're currently seeing mid to upper single-digit declines in the mobile sector and we're fortunate to see some really nice strong growth rate in the non-mobile which is as you can see in the results that has given us the ability to continue to grow that operating income. And as we said in our notes there, we would expect to see a little bit of softness here until we -- really trying to gain continued momentum in the non-mobile there. So it's kind of hard to really predict when that might happen, we have seen some positive signs in certain markets. And again, I would just come back and say that we've got great momentum going on our non-mobile which has given us the ability to work through mips change. So I think sometimes there is just always a lot of focus on the non-mobile part of it but you know we've got a product that -- let's call it is going through a maturity curve. And we're really fortunate that we have access at over 300,000 retailers with over 600,000 terminals that we distribute our product in. Together with a whole host of digital fronts that we distribute our product and that's really been the champion behind being able to grow this non-mobile into good strong double-digit basis. So as we continue to make that change out, I think we'll start to see some movement there but for the time being we'll be a little bit cautious on how aggressive we might expect that to be growing.
Chris Shutler: Okay. You would characterize the mobile top-up businesses, the declines there as steady or are they accelerating a little bit or how would you characterize the headwinds?
Mike Brown: No, I would say steady, I haven't seen necessarily acceleration but probably as with a lot of people, we would like to think that when we see a flattening in a particular part of the business it's a trend that we love to hang on to there, but it's not really changed but it's continued like I say in that single to upper single-digit rate.
Kevin Caponecchi: Chris, this is Kevin. It's principally driven by mobile operators competing with one another and just continuing to give more for less. And you see that in the advertising on TV etcetera. So that's pretty that -- that promotional activity for mobile operators is pretty consistent. And it's proportional, all of us can only eat so much data, text and voice.
Chris Shutler: Okay. So just a continuation that sounds like. And then just one more quick one, just on the pinned EFT. Mike you talked about the move into Ireland, I'm guessing it's very small at this point but maybe just give us a sense how big the launch is and who the competitors are and why you're moving into that market?
Mike Brown: I've send out a little email every my company because on St. Patrick's Day we went live with our first three ATMs. We just have a handful now but we're going to -- it's the same modus operandi, we do at each of our new launches, we start with handfuls of ATMs, get them out there, make sure we get it all working right. We assess the market and we continue to put out more ATMs where we can make them profitable. So more on that later.
Chris Shutler: Okay, thanks guys.
Operator: Thank you. Our next question comes from the line of Rayna Kumar with Evercore ISI. Your line is open, please go ahead.
Rayna Kumar: Good morning. With your Walmart money transfer pilot in Chile were you setting prices relative to competition?
Mike Brown: You know what Rayna, I don't even have that…
Jeff Newman: This is Jeff. Rayna, we consistently throughout our business are slightly better than the leading brands that are out there because as Mike mentioned earlier in our comment there. We provide a great quality product with lots of payout opportunity and we do it at a little better price. So it's a little better price but it's not different than what we have traditionally practiced around the world.
Rayna Kumar: Got it, that's very helpful. With the 26% Asian location growth that we saw this quarter, I think it was the highest we've seen in at least the last two years. Where do you think are the other markets that you can add?
Mike Brown: There is a lot. I mean the reality as we still need more in Africa. We still need more in the Middle East which is why we've bought IME because that gives us a head start in the Middle East. Asia, we could use more. Now we're pretty strong in places like Pakistan, Bangladesh, Sri Lanka, in Southeast Asia but we need to do more in India. So there is still lot of work for us. We've got a team that crisscrossing the world every single day, and talk about nose to the grindstone, they just hammer it out and add more ubiquity to payout which gives us access to more and more immigrants because of what like we said in the prepared remarks, if you don't have a payout location that's close to where the family -- your mom lives and you're sending her money, then you're going to use a different provider.
Rayna Kumar: Understood. Can you update us on the potential for each campaign or change increases across Europe?
Mike Brown: Okay. I'll tell you -- this is -- we're trying to figure this stuff out too. We do know that it appears as surcharge, maybe allowed in Austria and Spain under certain conditions, that's kind of new over the last few months. Germany is considering surcharge for different kinds of cards than they have in the past, everything seems to be very, very fluid, nobody seems to quite know what's going on. But we'll be able to -- I think within a quarter two we'll be able to solidify that but this is a combination of card organizations, regulators, consumer groups, everybody's kind of buying to be the guy who determines what the new rules are. So it's very fluid.
Rick Weller: I think one other point I would make on this is that, you hear a lot of discussion about decreases in interchange, especially in the card world. And you have to understand that in the card world what these really are is just electronic transactions that are forcing the different networks. In the ATM world, there is a lot of cost it takes to keep an ATM in place. And the banks that you were seeing over there, the banks are essentially saying, I cannot run and make an ATM network available to customers with low interchange rates because as we've shared with you before, it costs almost a $1,000 a month to run an ATM, this is a real bank quality ATM, not a small type of a desktop ATM but a real bank quality ATM that you provide a whole host of services, a whole range of value-added products. And to keep those things up and going, and rent, and all that type of stuff, it's about a $1,000 a month. And so the banks are essentially saying, guys, we need enough money to profitably or at least breakeven run our ATM network to serve the customers of the bank. And so that's why I think when Mike says it's quite fluid is, these folks are engaging in the discussion to see how they can most efficiently operate their business because it is very, very different than card interchange.
Mike Brown: When Rick says card, he means POS.
Rick Weller: Yes.
Rayna Kumar: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Peter Heckmann with Avondale Partners. Your line is now open. Please go ahead.
Peter Heckmann: Good morning everyone. Rick, just a follow-up on your comments on epay. Did you say just qualitatively that the net effect we should think about maybe modest revenue declines but with modest growth in EBIT dollars given that continued mix shift to higher margin transactions?
Rick Weller: I would say you heard it just the way we expected you to.
Peter Heckmann: Yes, perfect. Okay. And then within money transfer, great transaction growth there. You're seeing that I calculate at the average fee per transaction moving down consistent. And I assume that's mostly mix but are there any quarters where you would call out either new competitors or different dynamics in pricing?
Rick Weller: No, nothing that we really see there across the board, Pete. I would also just mention that the Asia Pacific transactions generally are a bit lower on the price side than you might see out as the U.S. and the European type transactions. So that adds into the mix a little bit there that brings that number that you've seen, that's overall an average lower kind of a number there. But nothing really different on the competitive price front out there that we've seen.
Peter Heckmann: Great, that's helpful. And then just last question, a clarification, in Chile, on the pilot, I assume that's a Ria branded pilot?
Rick Weller: Yes, it is.
Peter Heckmann: Got it. All right, thanks. Have a good one.
Mike Brown: Thanks, Pete.
Operator: Thank you. Our next question comes from the line of Jason Deleeuw with Piper Jaffray. Your line is now open. Please go ahead.
Jason Deleeuw: Thanks, good morning and nice work on the quarter.
Mike Brown: Thank you, Jason.
Jason Deleeuw: Just a quick question -- you're welcome. Quick question on the Walmart, Chile store, just to be totally clear, are those transactions from U.S. Walmart's to Walmart's in…
Mike Brown: No, no, that's not it at all. These are immigrants into Chile from other, probably surrounding South American countries. Chile has got one of the stronger economies in South America and so you see people coming from Peru and other countries around there, going into Chile for jobs and then basically send him back home money. So this has no connection to the U.S. Walmart other than it's both [ph].
Jason Deleeuw: Great, thanks. And then switching to EFT, with the growth in India, the mix we have going on with outsource versus owned ATMs and some other factors. How should we think about the segment margins? They were up year-over-year in this last quarter and this is seasonally slow period, and we've had some ATMs moving around but can we still expect EFT segment margins to expand going forward?
Mike Brown: Yes, I think that's probably reasonable, we'll say the same to expand.
Kevin Caponecchi: In fact on instance, as Mike pointed out earlier, these Indian ATMs are essentially driving our business, it's driving. So whatever revenue comes in the top goes all the way to the bottom because there isn't any other kind of real operating kind of cost out there to do that. The only difference you'll see is when you do the mathematics of your average operating income per ATM just because like we said, they're going to be pretty marginal on the contribution.
Rick Weller: We really increase the denominator.
Kevin Caponecchi: But our margin should continue to expand.
Mike Brown: And just to reiterate for everybody. Driving agreements, we love them. We don't have any CapEx, we don't have any OpEx. We usually -- we leverage that on top of current infrastructure. So as Rick said, you add a driving contract, no matter what you charge and those are very lucrative agreements for us, high margin.
Jason Deleeuw: And then for the ATM growth for the remainder of the year, I believe the target was 2,000 ATMs and my sense is that's kind of outside of what you've done in India. Are you still targeting…
Mike Brown: Yes, we're not counting the Indian one in that but we did something like 530 or whatever the number was for this quarter, net about all the other things going on. So we're definitely on plan to deliver 2,000+ for the year and we hope that our site selectors can find another 1,500+ great sites this year.
Kevin Caponecchi: We didn't think that the 2,600 Indian ATMs gave us the right to do our victory dance.
Jason Deleeuw: All right, thanks a lot.
Mike Brown: Thank you.
Operator: Thank you. Our next question comes from the line of Alex Veytsman with Monness, Crespi, and Hardt. Your line is now open. Please go ahead.
Alex Veytsman: Good morning, congratulations on a strong quarter. My question is around Walmart to Walmart, just wanted to understand in the second half of the year a little better, what kind of growth rates should we be envisioning for the second half of the year?
Mike Brown: You know, everybody asked that, we asked that around the table here. We don't really know. We are into kind of uncharted territory, first of all, the historicals of Walmart prior to us getting there are confidential between Walmart and it's other suppliers. All we can gather is it appeared as -- as I mentioned, because we're on the low end of the price elasticity curve, more and more people are using the service, and more and more people are finding out about it every day. So that's very difficult for us to know how big the pie can get because the pie has never been this big before. So we'll just have to see, where we still see growth, we're still happy.
Alex Veytsman: How about across border, I mean what are some of the possibilities there?
Mike Brown: Well, across the border with Walmart in particular, do you mean?
Alex Veytsman: Walmart to Walmart, potential growth?
Mike Brown: That's upto Walmart and whenever they have their strategy and if they choose us as their supplier, with give you more updates but as of this right now we only have the domestic piece, and we're excited about doing that and doing that really well.
Alex Veytsman: Got it, thank you.
Operator: Thank you. Our next question comes from the line of Tim Willi with Wells Fargo. Your line is open. Please go ahead.
Unidentified Analyst: Good morning guys, Alan [ph] for Tim.
Mike Brown: Hey Alan, how are you?
Unidentified Analyst: Good. A couple quick questions on transfer. So just to touch on the development in Russia, is that something you see as a longer term opportunity to gain market share?
Mike Brown: Absolutely. I mean, we have -- to be frank, we've got kind of weak payout in Russia. So every time we add more payout it's better, it's good for us, it was -- it's a 15th or 16th largest remittance market in the world and we've got rather spotty coverage. So I'm happy that we added these new sites and hope to add more.
Unidentified Analyst: Okay, great. And then secondly, could you just give us some update on the economics around IME and the plans for growth specifically in Southeast Asia?
Mike Brown: Well, there is no economics other than they've exceeded our expectations since we bought them with their -- just their intrinsic growth. We still haven't done the full integration between our two systems so that all of our agents can access all of their agents, and their locations and vice versa. That's in process. And so that will add some growth. In the meantime, these guys are just kind of ripping it up on their own, so they're doing a good job, growing in Southeast Asia. In the Middle East, they've added these corridors that we just did not have before. And so we're excited to add our brand and our size and girth to what they have had so that we can amplify that a bit.
Unidentified Analyst: Okay, great. Thanks, Mike.
Operator: Thank you. And that does conclude today's Q&A portion of the call. I'd like to turn the call back over to CEO, Mike Brown, for any closing remarks.
Mike Brown: Thank you, operator. No real closing remarks. I do thank you to everybody who has spent some time on the phone with us today. We look forward to a good Q2 and certainly, a good rest of the year. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may also disconnect. Everyone had a great day.